Operator: Good day, and welcome to the Nabors Industries Ltd. Fourth Quarter 2025 Earnings Conference Call. Participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. To ask a question, you may press star then 1 on a touch-tone phone. To withdraw your question, please press star then 2. Please note that this event is being recorded. I would now like to turn the conference over to William Conroy, Vice President of Corporate Development and Investor Relations. Please go ahead. Good morning, everyone.
William Conroy: Thank you for joining Nabors Industries Ltd.’s Fourth Quarter 2025 Earnings Conference Call. Today, we will follow our customary format with Anthony Petrello, our Chairman, President, and Chief Executive Officer, and Miguel Rodriguez, our Chief Financial Officer, providing their perspectives on the quarter's results along with insights into our markets and how we expect Nabors Industries Ltd. to perform in these markets. In support of these remarks, a slide deck is available both as a download within the webcast and in the Investor Relations section of nabors.com. Instructions for the replay of this call are posted on the website as well. With us today in addition to Anthony, Miguel, and me, are other members of the senior management team. Since much of our commentary today will include our forward expectations, they may constitute forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. Such forward-looking statements are subject to certain risks and uncertainties as disclosed by Nabors Industries Ltd. from time to time in our filings with the Securities and Exchange Commission. As a result of these factors, our actual results may vary materially from those indicated or implied by such forward-looking statements. Also, during the call, we may discuss certain non-GAAP financial measures such as net debt, adjusted operating income, adjusted EBITDA, and adjusted free cash flow. All references to EBITDA made by either Anthony or Miguel during their presentations, whether qualified by the word adjusted or otherwise, mean adjusted EBITDA as that term is defined on our website and in our earnings release. Likewise, unless the context clearly indicates otherwise, references to cash flow mean adjusted free cash flow as that non-GAAP measure is defined in our earnings release. We have posted to the Investor Relations section of our website a reconciliation of these non-GAAP financial measures to the most recently comparable GAAP measure. With that, I will turn the call over to Anthony to begin. Good morning, thank you for joining us today as we review our fourth quarter results. We will also highlight a number of accomplishments we achieved throughout the year. I will begin this morning with those. During 2025 and through the beginning of this year, completed a sequence of significant transactions beginning with the purchase of Parker Wellbore for Nabors shares and assumption of debt, followed by the sale and Quail Tools, and finishing with debt redemptions and a significant debt refinancing. Compared to the end of 2024, we reduced net debt by $554 million. This improvement significantly de-risks our capital structure. At the same time, we will reduce annualized cash interest expense by approximately $45 million. We also have a portfolio of businesses remaining from Parker that we project will contribute at least $70 million in adjusted EBITDA this year. Now let me turn to our financial results for the quarter. Adjusted EBITDA totaled $222 million. This performance was better than the expectations we set on our previous earnings conference call. These results were primarily due to first, stronger overall performance in our 48 average rig count and daily margin and increased EBITDA from our legacy Drilling Solutions segment excluding Quail in the third quarter, NDS' casing running and managed pressure drilling business led this improvement. Sequentially, our total EBITDA excluding the contribution from Quail in the third quarter, once again improved. This result reinforces several of our strategic priorities namely our focus on performance excellence in the Lower 48 rig market, expanding in the international drilling market, where we generate attractive returns, we also benefit from the stability of multiyear contracts, and developing and deploying innovative technology which advances the capabilities and efficiencies of the drilling process. Our commitment to these priorities led to our recent accomplishments we are confident they will lead us to future success as well. Next, I will address the broader market environment and Nabors position in those markets. Let me start with the commodities. Oil prices were in downward trend in the 2025. This lasted through the U.S. announcement to import Venezuela crude in early January. Subsequently, there was a production interruption in Kazakhstan that helped trigger an increase. These were followed by uncertainty around tariffs related to Greenland and protests in Iran. We are evaluating the lasting effect of these items including the potential reaction by our client base. These events occurred against a backdrop of global oil supply exceeding demand. The EIA's figures showed a surplus each month of 2025. Looking ahead, we see several issues that could impact oil prices including continuing uncertainty around future tariff actions, oil production increases, both inside and outside OPEC, the recent interruption at Tengiz in Kazakhstan, reported inventory builds in certain markets, higher demand concentrated in Asia, and ongoing conflicts involving Ukraine and Iran. Our global drilling markets each have their own drivers, with our current geographic reach we are well positioned to benefit from improvements in those countries. Next, I will comment on Venezuela. We have operated in Venezuela since the forties. At our peak, we had 18 rigs working there for multiple customers. More recently, we worked into 2020 when our client wound down operations. That was due in part to problems with payments and OFAC regulations. Today, we have five idle rigs and a small number of key local personnel in country. With suitable commercial terms and security arrangements we are prepared to return to work there. We are already in discussions with multiple operators. Across the Middle East and North Africa, several markets have aspirations to increase their production capacity. Our business portfolio aligns with these expansion plans. Turning to the U.S. market, operators in the Lower 48 appear focused on maintaining production. At the same time, they are positioned to react quickly should oil prices no longer support their investment return metrics. Our approach in this market is to exercise cost discipline while we deploy advanced technologies. Our innovations augment operator investment returns, with enhanced production and efficiencies. The outlook for natural gas remains positive over the next several years. In the U.S., LNG exports and domestic consumption should ramp up. Elsewhere, in the Middle East and Latin America, continued expansion of natural gas supports drilling activity. In the Lower 48, the gas-directed industry rig count increased by more than 20% in 2025. Nabors' gas rig count increased by 50%. Currently, gas-directed activity comprises approximately 20% of our overall rig count in the Lower 48. We stand ready to respond to any increased demand across gas producing basins. Next, I will add a few perspectives on our current business. In the Lower 48, our momentum accelerated during the fourth quarter. We had four rigs in December, and finished at the high watermark for the quarter, 62 rigs.
Operator: Since then, we have added more rigs.
William Conroy: Our rig count recently stood at 66.
Operator: The additions are mainly for public operators,
William Conroy: They are spread across producing areas with four in the Permian, three in the Eagle Ford, and two in the Haynesville. This diversity is encouraging, it suggests favorable operator economics across basins. Next, I will spend a moment on SANAD, our joint venture in Saudi Arabia. The new-build fleet there continues to expand. SANAD deployed the fourteenth new-build during the fourth quarter. Five more rigs are planned to commence work during 2026, bringing the total to 19. The twentieth should start up in early 2027. During the fourth quarter, SANAD received notices for two of its three suspended rigs to resume operations. The first is scheduled to start up late this quarter. The second, late in the second quarter. The rigs will work under their existing contracts. Their contract terms extended by the suspension period. SANAD recently elected not to renew three of its owned rigs. These were contributed by our partner to the JV during its formation. These smaller rigs in effect operated as workover rigs. They generated very little EBITDA and free cash flow. The JV is evaluating alternatives to return them to work. In the meantime, SANAD can utilize the experienced crew from these rigs on its planned deployments during the quarter. This should help mitigate the effects of a tight labor market in the Kingdom. Across other markets in the Eastern Hemisphere, we are seeing potential activity growth. Currently, we are tracking nearly 20 opportunities for additional rigs in countries where we currently operate. This total sends an encouraging signal on the state of the Eastern Hemisphere market. In Latin America, activity outlook in Mexico has improved. We currently have three offshore platform rigs working. The improvement in our clients' payment posture as Miguel will discuss, we see the potential for a more stable operating cadence there. We expect to restart a fourth platform rig there early this year. Turning to Argentina. We expect to start one rig this quarter. We have a second rig scheduled to start work there in the third quarter. That deployment would bring our rig count in Argentina to 14. That is up one from our last earnings call. Our leading position in this market enables us to opportunistically capture additional work. Next, I will comment on the U.S. market. Thus far, we have not seen oil prices at the level that concerned us a quarter ago. The Baker Hughes weekly Lower 48 land rig count decreased by three rigs from September through December. This trend continues the apparent stability we saw in the third quarter. We again surveyed the expected drilling activity of the largest Lower 48 operators. This group accounted for approximately 42% of this market's working rig count at the end of the quarter. Taken together, these operators expect the rig count to remain largely stable through 2026. Looking more closely, two companies indicate declines, the rest are essentially unchanged with a few indicating small increases. Now I will make some comments on the key drivers of our results. I will start with our International Drilling segment. This business has been relatively stable compared to the high volatility in the U.S. in recent years, and looking to the future, international markets are a source of growth. We see prospects across the Middle East, Asia Pacific, and in Latin America. We will focus on opportunities that benefit from our advanced technology, offer long-term visibility with multiyear contracts, and generate attractive returns. In Saudi Arabia, beyond the pending additions I mentioned earlier, SANAD continues to advance discussions with its client for the fifth tranche of new-build rigs. We expect these to conclude in the coming months. This tranche will bring the total number of new-builds to 25. Now I will discuss our performance in the U.S. In the fourth quarter, our daily gross margin in the Lower 48 exceeded our guidance. This resulted from our disciplined approach to pricing and our ability to reduce operating costs. With our performance in the fourth quarter, and guidance for the first quarter, we believe our daily margin is stabilizing. Before moving on, I will offer an update on our high-end rigs including the PACE-X Ultra. The first unit has been working for Coterra in South Texas since mid-September. We had high expectations for this rig. It has delivered. We are now working toward an agreement to deploy a second PACE-X Ultra. This powerful rig is an upgrade to our existing PACE-X rigs.
Operator: The PACE-X Ultra
William Conroy: combines a 10,000 PSI mud system, high-end racking and mast capacity, and an upgraded high-torque HPU top drive. As an upgrade, the PACE-X Ultra is cost-effective for both us and for our clients. As this rig continues to prove its value, we are confident that interest in it will grow further. We are working with another operator to upgrade an existing PACE-X rig with higher setback capacity. This upgraded unit has been tagged to drill the operator's four-mile lateral wells, its longest, in the Permian Basin. We are also in discussions to simply upgrade a PACE-X rig for South Texas. We are encouraged by these developments. Having multiple operators select our high-end drilling technology demonstrates the versatility and capability we can deliver to the market. At the same time, we generate attractive returns on these investments. Next, let me discuss our technology and innovation. An integral element of our PACE-X Ultra rig is the full automation package supplied by Nabors Drilling Solutions. We also integrate our managed pressure drilling package and we provide casing running services. Looking more broadly, our penetration of NDS services on Nabors' own rigs in the Lower 48 was stable. We averaged seven services per rig. Our strategy for NDS to target third-party rigs continued to pay off. In this segment, NDS outperformed the market. In the fourth quarter, on third-party rigs in the Lower 48, NDS revenue excluding Quail, increased sequentially by 10%. That increase came into market where the third-party average rig count increased by just 1%. NDS remains a key element in our strategy. Its services generate value for clients, and with the low capital intensity, for Nabors as well. I will finish my update this morning with some comments on our capital structure. We said many times our highest priority remains the reduction of our debt. We made considerable progress over the last year. Our net debt is down by more than $550 million. It stands at the lowest level since 2005. This improvement is also contributing to our free cash flow as our interest expense declines. Going forward, with our expectation to generate free cash flow outside SANAD, we are committed to further debt reduction. I will conclude my remarks with the following. Our outlook for 2026 envisions EBITDA performance that matches last year's. We forecast increases in several of our operations. Those should offset the disposition of Quail. This prospect demonstrates the strong earnings power we have across our company. I will now turn the call over to Miguel to discuss our financial results in detail. Thank you, Tony, and good morning, everyone. I will begin by reaffirming our unwavering commitment to continue to strengthen our balance sheet and enhancing our capital structure. Delevering remains our highest financial priority. And we will endure to take decisive actions
Miguel Rodriguez: to keep reducing gross debt. At the same time, our organization is well positioned to operate at peak performance and deliver durable growth and long-term value. Our financial targets are designed to be appropriately rigorous to drive the business forward. Today, I will start with an overview of our full year performance and a detailed discussion of our fourth quarter results. Next, I will outline our guidance for the quarter and full year 2026. Then I will provide a brief update on the integration of Parker Wellbore. I will conclude with remarks on capital allocation, adjusted free cash flow, and the recent actions we have taken to materially strengthen our capital structure. Full year 2025 revenue was $3.2 billion reflecting growth of 8.7% year over year, driven primarily by the acquisition of Parker and a strong international expansion. Full year adjusted EBITDA was $913 million, $31 million higher than the prior year. This performance was driven by the same underlying factors. Now turning to the fourth quarter results. Fourth quarter consolidated revenue was $798 million, a decrease of $21 million or 2.6% sequentially. The divestiture of Quail Tools resulted in a reduction of $34 million compared to the third quarter. This impact was partly offset by continued growth in our International Drilling segment. Without the contribution of Quail in the third quarter, consolidated revenue grew $14 million or 1.7% sequentially. EBITDA was $222 million representing an EBITDA margin of 27.8%, down 110 basis points sequentially. These results exceeded the expectations we laid out in October. In absolute dollars, EBITDA decreased $15 million or 6.2% versus the third quarter, driven primarily by the divestiture of Quail. In the third quarter, Quail contributed EBITDA of $20 million. Excluding this impact, our EBITDA grew by 2.6% led by our International Drilling Operations, NDS, and Rig Technologies segments. These gains were partially offset by a decline of just 1% in our U.S. Drilling segment. EBITDA from Alaska and offshore combined exceeded the guidance for our last earnings call, as these operations experienced fewer maintenance days than anticipated. Lower 48 EBITDA improved sequentially and was approximately 6% above our guidance. Now I will provide you with details for each of the segment results. International Drilling revenue was $424 million, growth of $17 million or 4.1% sequentially. EBITDA for the segment was $131 million, increasing $4 million or 2.9% quarter over quarter, yielding an EBITDA margin of 31%, down 35 basis points. International Drilling EBITDA increased sequentially though it came in modestly below the guidance provided on our last earnings call. Our average daily rig margin of $17,130 decreased sequentially by $301 and was below the lower bound of our guidance. The daily margin shortfall was mainly driven by a combination of activity disruptions in Colombia during most of the quarter impacting our logistics and drilling plans, more maintenance days than anticipated in Saudi Arabia based on updates to our customers' drilling schedule, and some inefficiencies from rig start-ups during the quarter. These were partially offset by stronger activity than planned in Mexico. During the fourth quarter, International Drilling average rig count increased by four rigs to 93.3, exceeding our expectations by 2.3 rigs. In addition to the full quarter contribution from rigs that commenced in the third quarter, the strong growth in average rig count mainly reflects the deployment of our new-build in Saudi Arabia, two rigs deployed in Argentina, and the rigs that we expected to be suspended in Mexico due to activity and budget allocation uncertainty continued to operate through the quarter. We exited the quarter with 94 rigs operating. Moving on to U.S. Drilling. Fourth quarter revenue was $241 million reflecting a 3.7% sequential decline. EBITDA totaled $93 million, a decrease of 1% sequentially, resulting in an EBITDA margin of 30.7%, an improvement of 105 basis points. These results exceeded the guidance for our last earnings call due to a stronger-than-expected performance in our Lower 48 business with Alaska and offshore also modestly above our outlook. Looking specifically at the Lower 48, revenue of $180 million decreased by $4 million or 2.2% sequentially, on a modest increase in average rig count of 0.6 to 59.8 rigs. Despite ongoing commodity price volatility and broader market challenges, this is higher than the upper band of the guidance range we provided during the last earnings call. We exited the fourth quarter with 62 rigs operating. Our rig count ramped higher toward the latter part of the quarter as we capitalized on opportunities to add rigs in the Eagle Ford Shale and the Permian. We are very pleased with the progress in a rather complex market at present. Average daily revenue declined by $1,079 to $32,938. The majority of the variance was driven by lower reimbursables that have minimal impact on margins. Approximately $250 of the decrease was attributable to the base day rate, which remained largely consistent with prior quarters. In our most recently signed contracts, expected daily revenue remains in the low $30,000 range, unchanged from prior quarters. Average daily margin of $13,303 increased by $152 or 1.2%, reflecting a relatively stable base daily revenue and the benefits of cost absorption and optimization initiatives including reduction in repairs and maintenance expense. Turning to Alaska and U.S. offshore. On a combined basis, our Alaska and offshore drilling operations generated revenue of $59 million in the fourth quarter, a 7.9% decrease sequentially. EBITDA was $26 million, down $2 million. EBITDA margin was 43.9%, essentially in line with Q3 and moderately above our guidance. We are experiencing changes in the scope and mix of work in these markets. In the medium to long term, however, we expect operations in Alaska to remain strong. Our Drilling Solutions segment generated revenue of $108 million in the fourth quarter and EBITDA of $41 million, resulting in EBITDA margin of 38.3%. In the third quarter, Quail revenue and EBITDA were $34 million and $20 million respectively. Normalized for the sale of Quail, NDS revenue increased slightly and EBITDA grew by 2.3% versus the third quarter. NDS EBITDA margin excluding Quail was 37.5% in the third quarter, representing a sequential improvement of 83 basis points in the fourth quarter driven by international growth across services, including casing running, managed pressure drilling, and performance software. Now on to Rig Technologies. Revenue was $38 million in the fourth quarter, a sequential increase of 6%, and EBITDA was $5 million, up $1 million from the prior quarter. The improvement is predominantly related to year-end equipment sales. Next, let me outline our expectations for the first quarter and full year. Starting with the quarter on U.S. Drilling. Given our strong position in a number of Lower 48 basins and current market conditions, we expect a sequential increase in average rig count to a range of 64 to 65 rigs. This includes our anticipation of some level of rig churn during the quarter. For the first half of the year, we expect activity in our Lower 48 drilling business to remain relatively steady. Daily adjusted gross margin for the first quarter is expected to average approximately $13,200 with base daily revenue remaining largely stable. Rig additions during the quarter will incur some higher start-up related costs. For Alaska and U.S. Offshore drilling combined, we expect EBITDA in the range of $16 million to $17 million for the quarter. This outlook reflects a step down in daily margins driven primarily by a change in the scope of work of our marquee offshore platform rig, as well as reduced activity levels in Alaska. International Drilling average rig count is expected to be in the range of 91 to 92 rigs. This reflects the commencement of the 15th new-build rig in Saudi Arabia, the redeployment of one of the suspended rigs in the latter part of the quarter also in Saudi Arabia, the redeployment of one rig in Argentina, and the full quarter contribution from rig start-ups that began in the fourth quarter. These additions are partially offset by a decline of three very low margin workover rigs in Saudi Arabia. As Tony mentioned, SANAD elected not to renew those contracts for economic reasons. The drop of these rigs will have no material impact on our full-year international and cash flow progression. We expect average daily gross margin to be essentially in line with the fourth quarter in the range of $17,500 to $17,600. While this reflects the benefit of our robust rig additions, we also expect some seasonal slowdown in the Middle East, and the conclusion of certain short-term high-margin activities during the quarter. Drilling Solutions EBITDA is expected to be approximately $39 million reflecting a marginal decline in both the U.S. and international markets. Finally, Rig Technologies EBITDA should be approximately $2 million. For the full year, we expect our EBITDA to grow by 6% to 8% normalized for Quail, with continued growth of our International and Nabors Drilling Solutions businesses. We will aim to maintain the same EBITDA level as reported in 2025. Starting with U.S. Drilling, we expect Lower 48 to average 61 to 64 rigs reflecting a cautious view for the second half of the year. Average daily gross margin is expected to range between $13,200 and $13,400. Alaska and offshore combined EBITDA of $55 million to $60 million. For International Drilling, we expect average rig count of 96 to 98 rigs, with a December exit at or above 101 rigs. This growth includes commencements in Saudi with five in-kingdom new-builds during the year, and two suspended rigs returning to work in the first half of the year. In addition, we expect to redeploy two rigs in Argentina. Average daily gross margin is targeted at $18,500 or 5% up as we continue to deploy rigs at better pricing levels. I do want to note our full year guidance does not factor for any reactivation of our five available rigs in Venezuela. Nabors Drilling Solutions EBITDA is expected to grow by 6% to 7% normalized for Quail to reach $160 million to $170 million, largely led by strong growth in international markets. Finally, Rig Technologies EBITDA is expected to range between $22 million and $25 million. Now I will provide an update on our integration of Parker, which is progressing in line with our expectations. As previously discussed, following the sale of Quail, Nabors retained the remaining Parker operations. I am pleased to report that we achieved our 2025 EBITDA target for these businesses of approximately $55 million post acquisition and including synergies. During the fourth quarter, we realized synergies at an annualized run rate of $63 million. This is slightly above our already ambitious target of $60 million and demonstrates our agility and, lastly, our focus on execution. We remain on track to generate at least $70 million of EBITDA in 2026 from the retained Parker businesses, supported by the full run-rate impact of synergies and the continued robust performance of these operations. We are very pleased with the progress of the Parker integration and the pace of the synergy realization. The combined organization is well positioned to continue delivering both operational and financial benefits in the quarters ahead. Next, I will discuss our capital allocation, adjusted free cash flow, and liquidity. In the fourth quarter, total capital expenditures were $158 million, lower than the guidance provided on our prior earnings call. This amount includes $78 million related to the in-kingdom new-build program, also below our guidance. Total CapEx in the third quarter was $188 million. Capital expenditures in 2025 totaled $695 million, including $274 million for the SANAD new-builds. Looking ahead, we will maintain our disciplined approach to capital investments. For the first quarter, we anticipate capital expenditures between $170 million and $180 million, including approximately $85 million supporting the new-build rigs. For the full year 2026, we are targeting capital expenditures in the range of $737 million to $760 million, including $360 million to $380 million for SANAD new-builds. The increase of roughly $100 million in the in-kingdom new-build spend primarily reflects the number of construction milestones that shifted from 2025 into 2026. This increase should be partially offset by lower expected reactivation in our international operations as we completed several redeployments in 2025 in a number of markets and do not expect to repeat the same quantum of associated spending. We also expect to reduce capital spending in NDS following the sale of Quail. Supported by customer demand, we will continue to invest in key automation projects as well as selectively high-grading our rigs in the Lower 48. Turning to free cash flow. During the fourth quarter, we generated adjusted free cash flow of $132 million. This exceptional performance drove our full year adjusted free cash flow to approximately $117 million, significantly exceeding our revised post-Parker guidance of approximately $80 million. The outperformance in the quarter was driven by a combination of factors including stronger EBITDA, lower-than-expected capital expenditures, higher-than-anticipated collections in Mexico, helping drive a sequential working capital improvement of approximately $40 million. A sizable percentage of our 2024 Mexico receivables were settled by Pemex in the fourth quarter, in addition to timely payment of a meaningful portion of our 2025 services. A major step forward in Mexico. In addition, our quarter benefited from one-time claim settlements. For the full year 2025, SANAD consumed approximately $55 million in adjusted free cash flow. Excluding SANAD, the rest of our business units generated approximately $175 million, a remarkable delivery for the year. For the first quarter, we expect to consume $80 million to $90 million of consolidated adjusted free cash flow, with SANAD alone consuming approximately $50 million to $60 million. In addition, our first quarter is normally loaded with heavier cash interest payments, annual bonuses, and property taxes. For the full year 2026, we expect SANAD’s adjusted free cash flow to consume between $100 million to $120 million, with the rest of our businesses generating in the range of $80 million to $90 million. With these funds and some cash in hand, we plan to further reduce Nabors’ gross debt by at least $100 million during the year. Now I would like to make a few comments regarding our progress on our capital structure during the fourth quarter and our subsequent actions that reduce gross debt. I will also highlight the broader progress achieved over the course of the year. In early October, we received $250 million from Superior representing an early payment of the seller financing note completing the consideration for the sale of Quail. In early November, we issued $700 million of 7.58% senior priority guaranteed notes due November 2032. Proceeds from these issuances were used to retire the remaining $546 million of outstanding senior priority guaranteed notes maturing in May 2027. Subsequent to quarter end, we redeemed the remaining $379 million of senior guaranteed notes maturing in 2028, effectively extending our maturity runway to June 2029 with a very manageable $250 million maturity. As a result of these actions, two of the credit rating agencies upgraded ratings on elements of Nabors’ debt structure. Stepping back and looking at the year more broadly, we made substantial progress through several major transformational transactions, as previously mentioned by Tony, that meaningfully enhance our capital structure. As a result, we improved our credit ratings, extended our maturity profile into 2029, with a weighted average maturity increasing to 5.3 years from 3.7 years as of the third quarter, reduced net debt by more than $554 million, and improved our net leverage ratio to approximately 1.7 times, the lowest since 2008. These are significant accomplishments, and I want to thank everyone involved at Nabors for their efforts and execution. With that, I will turn the call back over to Tony.
Anthony Petrello: Thank you, Miguel. I will finish this morning with a few points. First, the transformation of our capital structure shifts significant value to our equity investors,
Miguel Rodriguez: We have also lowered our annual interest payments
Anthony Petrello: This will boost our free cash flow. Second, in the Lower 48, our efforts to deploy industry-leading capabilities are paying off. Our highest spec rig solutions are gaining traction, demonstrated by the recent increase in our own rig count. Third, in our International Drilling business, we have seen a significant turn for the better in Mexico. Events in Venezuela could lead to increased oil activity there. Funding SANAD’s new-build program results in the consumption of cash at the JV until crossover. Notwithstanding the near-term free cash flow outlook, this investment opportunity remains one of the industry’s most attractive avenues for growth. Each annual tranche of new-builds at five per year should generate incremental annualized EBITDA of more than $60 million. At current valuations of drillers in the Middle East, that translates into more than $500 million of value creation each year. In short, our international franchise offers multiple growth prospects. We aim to capture our share of these in ways that generate significant value.
Miguel Rodriguez: That concludes my remarks.
Anthony Petrello: Thank you for your time this morning. We will now take your questions.
Operator: We will now begin the question and answer session. If you are using a speakerphone, please pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, please press star then 2. At this time, we will pause momentarily to assemble our roster. First question today comes from Derek Podhaizer with Piper Sandler. Please go ahead.
Derek Podhaizer: Hey. Good morning. Just wanted to start with your Lower 48 outlook. You have talked about the rig count increasing to that 64 to 65 range. That is from 60 just in the quarter. This bucks the trend a little bit from some of the other drillers that we have heard so over the last couple of weeks. Tony, like, in your opening comments, it is more public E&P driven. But maybe could you just expand on the 66 rigs.
William Conroy: And looking at last quarter, the rig count was stable, but there was a lot of churn. You had basins going up and down. You had a mix between gas and oil. In the shifting. And that has resulted in Nabors shifts as well. So if you look at our right now, we are now 80% public and our gas rig count is 20%, which is up double from where we were before. The other thing that is interesting is looking at the type of drilling that is going on, which is the longer laterals.
Derek Podhaizer: The trend is clearly
William Conroy: in that direction. I will give you some statistics here. You look at West Texas,
Keith Mackey: the change in West Texas of laterals of three or four mile laterals, they accounted for that bucket was 19% of our wells in 2025 versus 12% in 2024. The growth in laterals generally for us in terms of pushing more than three mile laterals was 25% in 2025. That is up from 15% to 16% in 2024. If you look at the number of four mile laterals, which is a really small tiny bit, that number actually quadrupled our percentage. Now why is that important? That is important because Nabors I think, has a fleet of PACE-X rigs that are well suited to drilling these kind of wells. And you saw from the Ultra, we have actually improved on our base case on that as well. So all that, I think, has positioned us really well in the market. And we remain pretty bullish on long-term picture for gas, and we think that oil has been played out as well. So that in summary and on top of that, obviously, we have basically just maintained discipline and tried to focus on performance day to day. And that accounts for some of the changes of some recent wins. But as you said from our outlook, we remain cautious about the market. And I am pleasantly surprised by the commodity price as I mentioned. We think though, we are in a great position right now going forward.
Miguel Rodriguez: Got it. That is helpful. If I may add as well, if you look at the remainder of the year, we are looking at a H2 with a lot of caution given what is going on in the market. But, I mean, we are very confident about our customers and our team to keep the momentum. And as a reminder, the outlook that we have provided for the full year really translates in a number in a couple of rigs going up versus 2025. And the range that we provided is quite short relative to our peers, if you will. Right. Okay. Understood.
Derek Podhaizer: That was helpful. I will turn it back, and I will jump back in line. Thank you.
William Conroy: Thanks.
Operator: The next question comes from Keith Mackey with RBC. Please go ahead.
Keith Mackey: Hi. Good morning. Can you just comment, can you comment a little bit more on what you are seeing on the ground in Saudi Arabia? I know the SANAD new-build program looks like it is moving along quite well. But, certainly, in the Kingdom, there is going to be a number of rigs to be activated throughout the year. And Tony, as you mentioned, the labor market over there is fairly tight. So can you just comment on your confidence around timelines that both the reactivation rigs and the new-build rigs will essentially go to work on schedule? And how do you generally manage that, and what are you seeing on the ground in the industry?
Keith Mackey: Sure. Well, let us put the whole thing in some context. Right now, the rig count in the Kingdom, I think land is about 168, offshore 60. I think there is about 35 LSTK rigs working, which about around 260 plus rigs in the Kingdom. At the market peak, 80 land rigs were idled. And 23 came into the market. So that is a net down of 57. And I think we have heard that there is 40 rigs out of 83 that were suspended that received notices to return to drilling. Two of the three are obviously SANAD, and we are highly confident those two rigs are going on the schedule I just outlined, which is the second and third quarter. There is no question about that. From our point of view. But for everybody else that leaves dozens of rigs that still have to go back to work, and I think the labor market is heating up over there. I think given our position in the Kingdom, our vertical integration, we have no problem with those rigs, and we have no problem with the five new-builds at all. So I think we are highly confident of our rig count going forward there. I think the large-scale resumption of Aramco putting back all these rigs to work,
Miguel Rodriguez: which
Keith Mackey: about nearly half, I think, they have got are in the process of going back. It is an incredibly positive signal to the market, I think, that is the macro thing I get out of this thing. It shows Aramco is usually ahead of the market in terms of where it sees things are going. And this, I think, means that in 2027, people are looking at 2027 being a good year. That and are able to try to position itself to do that. That is my own read on it. So I do not know if that is enough color for you. Just one comment, Keith.
Miguel Rodriguez: On the suspended rigs, we are expecting them to come back one in March, and one in June. One in the latter part of Q1, and the second one in the latter part of Q2.
Derek Podhaizer: Got it. That is very helpful. Thank you for the color. I will turn it back.
William Conroy: Thanks.
Derek Podhaizer: Next question comes from Scott Gruber with Citigroup.
Operator: Please go ahead.
Keith Mackey: Yes, good morning. I wanted to ask a question on Mexico. Good to hear that the platform rig will be going back to work, but we have seen some headlines suggesting a potential pretty healthy step up in upstream spending in Mexico this year.
William Conroy: Are you having any negotiations, you know, to put additional rigs to work in Mexico beyond the fourth platform rig? Right now the fourth platform rig is there, and there has always been other discussions about supporting other rigs there. We actually have some other services that we are supporting other rigs, including Pemex’s own rigs there. In addition.
Miguel Rodriguez: But
Keith Mackey: I think right now, we are really focused on making these three really profitable, and the fourth one moving forward. But yes, I think the market is a little more positive. And, obviously, the payment mechanism turning around is a big deal. So that too. Got it. And then I think there was, you know,
William Conroy: $50 million to $60 million of CapEx that may have slid
Derek Podhaizer: from 2025 to 2026 within this in-kingdom new-build program. Is that
William Conroy: for a five rig annual accurate? And how should we think about the kind of run rate
Derek Podhaizer: program in terms of
William Conroy: CapEx? Is that still about $300 million, is it a bit higher now?
Miguel Rodriguez: Yeah. I mean, so, Scott, really, the plan for the year originally was to be around $360 million. We are at the $274 million mark in 2025, which means as you rightly mentioned, we are probably around the $85 million that is moving from one year to another from what was planned originally. I think that the right way to think about the upcoming years is probably 2026 around the $360 to $380 we guided. With 2027 going down from these levels because we will be catching up in 2026. Maybe 2027 around the $320 to $330 million. That is probably the right way to think about it, which, you know, factors correctly the five rigs built.
Keith Mackey: Yeah. The only thing I would add, Scott, is I saw your write-up yesterday or last night, and I think when you analyze the situation, you cannot look at the consolidated free cash flow number. I think that is a misnomer. You have to look at the SANAD and its needs, and its needs are satisfied by SANAD. Nabors, away from SANAD, as Miguel referred to, will have $80 million to $90 million of free cash flow. That cash flow is available for net debt reduction. So this notion that there is a concern about ability to meet net debt reduction is not fully the whole picture. The other point I would make is if you look at our portfolio as a whole, I mean, if you look at International as a whole, when you count the Saudi rigs of five plus the two back to work to seven, and then there is another three rigs, the Mexico rig and two Argentina, that is 10 rigs. Okay? If you look at 2024, Nabors added nine net rigs. This year, we are hitting 10. There is nobody in the industry that has that kind of visibility. That and all those are locked in. And beyond that, there is these five rig programs additionally. And so when you look at the value of Nabors’ portfolio, I think your comments about valuation and how you look at it are just not really on point because no one has that kind of built-in growth and that kind of strong client base, our number one oil company partner in the world. The largest market in the world. And I do not think that analysis takes any of that into account. In the analysis of particularly of the free cash flow. So I just thought I would share that with you.
William Conroy: No. I appreciate the comments. I just think from a high level, people have been waiting for that consolidated free cash inflection point, and it does seem to be approaching. I mean,
Keith Mackey: I think, you know, with the momentum. To be honest,
Miguel Rodriguez: we remain on pace with what we have been communicating when we expect SANAD to cross over.
Keith Mackey: Yeah. And as you can see from
Miguel Rodriguez: what we originally guided for 2025, was a consumption of $150 million. We ended the year because of the CapEx moving from one year to another at $55 million, but the guidance of 2026 in terms of cash flow consumption is much lower than what was guided for 2025, which tells you that the EBITDA progression and growth in SANAD continues to build. And then once you stabilize the CapEx milestones, as I mentioned for 2027, you will be very close to the turning point in terms of crossing over.
Keith Mackey: Yeah. Yeah. The other thing is you look at what others have done in the Kingdom in terms of investing there, their EBITDA payout going into these deals has been around seven. And their free cash flow payouts are more closer to ten.
Keith Mackey: Years. And so our investments are orders of magnitude better than any of those terms of any of those deals that have been made elsewhere in the Kingdom. For sure. So, again, I think that is why I strongly believe that the value that you need to put on this is much higher than what has been recognized so far. Appreciate it. We look forward to the inflection. Thanks, guys. Thank you. Yep. You too.
Operator: The next question comes from John Daniel with Daniel Energy Partners. Please go ahead.
John Daniel: Hopefully, you can hear me okay. Guys, thanks for including me. Hey. First one. The second half caution, which is probably prudent, is that based off of known rig releases? Or just an expectation of stuff that might come from E&P M&A, etcetera? And efficiencies.
Keith Mackey: It is more you just cut the constant, all the external noise, the EIA, even as of last week, you are talking about oversupply. And the market's reaction. Even though I do not think the market is logical. When we think Iran's going to have a blow up or Ukraine gets resolved, then all of a sudden, the whole market goes the other way. I do not think that is so founded because I think the oil markets on the physical side turning is more like turning a derrick barge than it is a speedboat. But the reactions are that way, and obviously, those kind of swings we are still subject to. So it is really that than, yeah, anything really cracking here. As I said, we have been pleasantly surprised, and you can see from our progress so far, we are doing pretty well. But, you know, we are cautious, and we have everybody really focused on the cost structure here. To plan for if the downside does occur. That is the way we are thinking about it.
Miguel Rodriguez: Our team, John, is very strongly positioned to keep the momentum, and we are very confident about the team in the Lower 48 and our customers. But, you know, we will be very happy to provide a subsequent update if we see really the market changing from our conservative guidance for the second half. Right? Fair enough. My second question and final one is
William Conroy: can you guys elaborate a little bit on the new CAN rig wrenches and what that could mean for Nabors and just a little bit more color on the cycle time improvement?
Keith Mackey: Sure. So basically, what this wrench is, it is a three-bite wrench as opposed to the standard two-bite wrench. And it is loaded with feedback and automation. So as you know, we have our RZR rig out there, and this will be another component in that where eventually, we are going to be capable of being fully autonomous mode. It, in its initial dressing on the first couple wells the past month or so, has a stellar record of one-bite grabs because of all this automation and sensors. So and for the larger pipe that people are using, the more complicated wells, this wrench is well suited to that as well. So we are highly, highly positive about it. We have actually had drilling contractors come and look at the wrench. The initial reaction is really high. Our first priority is get some of these out on Nabors rigs, and then we are hoping that at CANrig, we will actually have a lot of third-party demand for this wrench as well. So we are really happy with
Derek Podhaizer: it. Yep.
Operator: Okay. Thank you. This concludes our question and answer session. I would like to turn the conference back over to Mr. Conroy for any closing remarks.
William Conroy: Thanks very much, everyone, for participating. If you have any questions, please do not hesitate to follow up with the IR team. With that, Chloe, we will wrap up here.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.